Operator: Good day, ladies and gentlemen and welcome to the CareTrust REIT First Quarter 2019 Earnings Conference Call. [Operator Instructions] As a reminder, this call is being recorded. I will now turn the call over to Lauren Beale, CareTrust Controller, you may begin.
Lauren Beale: Thanks, Michelle. Welcome to CareTrust REIT first quarter 2019 earnings call. Please note that this call is being recorded. Before we begin, please be advised that any forward-looking statements made on today's call are based on management's current expectations, assumptions and beliefs about CareTrust' business and the environment in which it operates. These statements may include projections regarding future financial performance, dividend, acquisition, investment, return, financing and other matters, all of which are subject to risks and uncertainties that could cause actual results to materially differ from those expressed or implied herein. Listeners should not place undue reliance on forward-looking statements and are encouraged to review CareTrust's SEC filings for a more complete discussion of factors that could impact results. As well as any financial or other statistical information required by SEC Regulation G. During the call, the Company will reference non-GAAP metrics such as EBITDA, FFO and FAD or FAD and normalized EBITDA, FFO and FAD. When viewed together with GAAP results, the Company believes these measures can provide a more complete understanding of its business, but cautions that they should not be relied upon to the exclusion of GAAP report. Except as required by law, CareTrust REIT and its affiliates do not undertake to publicly update or revise any forward-looking statements where changes arise as a result to new information, future events, changing circumstances or for any other reason. Listeners are also advised that CareTrust yesterday filed its Form 10-Q and accompanying the press release and its quarterly financial supplement, each of which can be accessed on the Investor Relations section of CareTrust's website at www.caretrustreit.com. A replay of this call will also be available on the website for a limited period. Management on the call this morning include Bill Wagner, Chief Financial Officer; Dave Sedgwick, Chief Operating Officer; Mark Lamb, Chief Investment Officer; and Eric Gillis, Director of Asset Management. I will now turn the call over to Greg Stapley, CareTrust REIT's Chairman and CEO.
Greg Stapley: Thank you, Lauren. Good morning and welcome everyone. It was an eventful quarter, thanks to the great teams with me here today, 2019 is off to the fast start in the Company's history. In the quarter and since, we significantly expanded and extended out our revolving credit facility and our seven-year term loan, while at the same time, reducing our interest rates and borrowing cost. We exhausted our ATM Program, raising $47 million in the quarter against healthy demand for our stock, and then we refreshed the ATM program with a new $300 million ATM that we can easily use to match-fund smaller acquisitions going forward. We raised almost $150 million in an overnight in April that was nearly 4 times oversubscribed and we made $290 million in new investments that we're really excited about. And best of all, most importantly, we brought on two outstanding new operators in the process. We did use the ATM in the overnight strategically to keep leverage down through this growth spurt which muted the per share numbers a bit, but we are raising guidance today and we're really well positioned to grow when, where and how we want to over the next couple of years. Especially if we see the pendulum swing back toward a buyer's market, we're not predicting that. But we are ready, if and when that day comes and we intend to stay ready, while continuing to grow in a disciplined way. We also remain earnestly engaged in finding and partnering with the very best healthcare operators in the country. And we are more committed than ever to our operator-first underwriting approach and portfolio management model. With that, I'd like to turn sometime over to the team. Dave will first talk a little about our current assets and operators. Mark will then discuss recent acquisitions in the pipeline and Bill will wrap up with the financials. Dave?
Dave Sedgwick: Thanks, Greg and good morning. So the year is off to a great start with new acquisitions that have expanded and strengthened our portfolio in multiple ways. First, the new investments for our current operators, WLC Management and PMG had given those outstanding tenants additional scale, with stable cash flow and facilities. With WLC, the Illinois SNF AL campus we acquired, it's right in their footprint and the market is a great match for their unique skill sets. For PMG, the eight properties in Louisiana are a perfect fit, since they are right in their backyard and PMG's principles personally operated these buildings for the original owner several years ago. So they know the operations and the markets unusually well. Both transitions have gone well so far and both, we and our operating partners couldn't be more pleased. Second, our $44 million California sale leaseback transaction with the current tenant, Covenant Care allowed us to consolidate four newly acquired facilities, with four existing assets into a single master lease. The existing assets had been under three standalone leases that we had acquired from different sellers at different times, and had remaining lease terms of less than five years. So getting all of them onto a new long-term master lease was a double win for CareTrust. Third, two of the deals allowed us to establish operating relationships with two outstanding new tenants, Southwest LTC and Next Gen. Southwest LTC currently operates 24 skilled nursing facilities and seven assisted-living facilities across Texas and Oklahoma. The 20-year old company is led by Ronald Payne, a well regarded long time operator who also happens to be the current Chairman of the Texas Health Care Association. Southwest LTC has carved out it niche by proficiently running more rural and small market facilities like before we matched them within Texas. Next Gen is part of a larger organization that operates five skilled nursing facilities in the Houston and Dallas areas. Their team is led by Sharlyn Threadgill, a well respected veteran operator with a track record of quality care and financial success. Their expertise and working with managed care organizations and the higher skilled - skill-mix model made them an excellent choice for the New Dallas Property as well as some other potential acquisitions in our current pipeline. As you can tell, we're excited about these new relationships and we plan to grow with both the Next Gen and Southwest LTC in the future. At the same time, we are continually re-evaluating the existing portfolio and operator pool to be sure that each asset and operator continues to meet our rigorous standards and long-term growth expectations. This is all part of our ongoing operator-first model and we continue to look for more and better ways to find, evaluate, monitor and support our tenants and their operations. To that end, in March, we hosted the three-day conference for our skilled nursing operators, at the conference we go deeper into PDPM and other current topics and help them prepare for and take advantage of the upcoming changes. The conference was well attended and very productive and we plan to make it an annual event. Looking at the broader industry, labor headwinds are still very much a challenge, highlighting now more than ever, the need for operators to first become the employers of choice in their markets, so that they can then become the care providers of choice in those markets. The 2.5% Medicare rate increase announced for the next two fiscal years is very positive for our skilled operators, but nothing is more important than the culture of care they foster in their operations. That's one of the many things we screen and monitor for as part of our portfolio management efforts. We are also optimistic about the opportunities PDPM will present for our operators and our tenants have echoed that optimism. And with that, I'll hand it over to Mark to talk about the pipeline. Mark?
Mark Lamb: Thanks Dave and hello everyone. In Q1, we closed approximately $64.3 million in investments composed of a $9 million tack-on with WLC Management in Southern Illinois and the $43.9 million sale leaseback of Covenant Care in California. We also provided Covenant Care with $11.4 million short-term mortgage loan. Since quarter end, we closed on a $10 million acquisition in the DFW area with a great new operator Next Gen that we anticipate growing with very soon as Dave just mentioned. Also, as most of you are aware, on April 1st, we invested $215 million in a 12 building portfolio in Texas and Louisiana that we are very excited about. We picked up the portfolio from a private equity firm that we've partnered with before to and acquired it in a larger transaction with another landlord and we immediately replaced the existing operators who had filed for bankruptcy. We're sometimes asked how assets then another landlord is deemed undesirable can be the complete opposite in our portfolio. Our experience proves that assets that languished in the hands of troubled operators can perform beautifully under the management of superior ones. For the most part, healthcare properties themselves are neither inherently bad, nor good, they're simply brick and mortar assets a tool with which to do a job. Yes, some are more desirable than others, but the real difference lies not in the architecture, construction or location, but in the operators expertise and their commitment to care. This principle has been proven over and over and we take our jobs very seriously to place CareTrust assets in the hand of the very best care providers and business people we can find. For this reason, we can comfortably say that we expect the assets that we acquire from troubled operators and/or their landlords will be healthy under the management of the new operators we brought in. This is certainly the case with the Louisiana and Texas acquisition, we will continue to look for similar opportunities. Altogether, these acquisitions bring our year-to-date investment total to $290 million. Turning to the market. After a strong start that's kept us very busy, we're rebuilding the pipeline largely with skilled nursing assets. We are seeing actionable opportunities in markets that we and our operators like. And as we sit here today, our - pipeline is back in the our normal $100 million of $125 million range. It consists mostly of singles and doubles and a couple of small portfolios, and includes tack-ons for our existing operators as well as deal that we compare with our new operators. Please remember that, when we quote our pipe, we only quote deals we are actively pursuing, which means, the yield coverage and other underwriting standards we have in place from time to time and then, only if we have a reasonable level of confidence that we can lock them up and close them. And now, I'll turn it over to Bill to discuss the financials.
Bill Wagner: Thanks Mark. For the quarter, we are pleased to report that normalized FFO grew by 16% over the prior year quarter to $27.9 million and normalized FAD also grew by 16% to $29 million. Due to some dilution, we consciously took in anticipation of the $215 million April 1st deal Mark talked about, our normalized FFO per share was flat at $0.32 as was normalized FAD per share at $0.33. Given our most recent dividend of 0.225 per share, this equates to a payout ratio of 70% on FFO and 68% on FAD, which again represents one of the best covered dividends in all the healthcare REIT sector. We continue to strengthen our leverage and liquidity positions, while closing our largest investment today. To that in the quarter, we issued 2.5 million shares under our ATM at an average price of $19.48, resulting in $47.3 million of net proceeds. Those sales essentially exhausted our old ATM and we have since put up a new $300 million ATM, but have not sold any shares under it. We also closed on a new $600 million revolver and a $200 million seven-year term loan, reducing our borrowing costs again and pushing our earliest debt maturities out to 2024. And finally, in April, we sold an overnight offering 6.6 million shares at $23.35 per share, resulting in net proceeds of $148.4 million. These proceeds were used to pay down the revolver, following the 12 facility in Louisiana, Texas acquisition that closed on April 1st. All of this resulted in a rating upgrade from Moody's. Our revolver balance currently sits at $45 million. For guidance in yesterday's press release, we increased our 2 - 2019 annual guidance by $0.05, projecting normalized FFO per share of $1.35 to $1.37, and normalized FAD per share of $1.40 to $1.42. This guidance includes all investments made today, the recently completed credit facility amendments, the recently completed stock offering, the diluted weighted average share count of 93.5 million shares and also relies on the following assumptions. One, no additional investments or dispositions, nor any further debt or equity issuances this year. Two, inflation-based rent escalations, which account for almost all of our escalators at an average of 1.5%. Our total rental revenues for the year, again, including only acquisitions made to-date are projected at approximately $167 million, which includes approximately $1.8 million of straight-line rent. Not included in this amount, are tenant reimbursements, which we previously accounted for on its own line item in the income statement. Due to the new leasing standard, these are now grouped with rental revenues, but the amount included in a rental revenues can be seen under expenses as property taxes. Three, our three independent living facilities are projected to do about 500,000 in NOI this year. Four, interest income of approximately $2 million. Five, interest expense of approximately $28.1 million. In our calculations, we have assumed a LIBOR rate of 2.5%, that plus the newly reduced grid-based LIBOR margin rates of 125 bps on the revolver and 150 bps on the seven-year term loan, makeup the floating rates on our revolver and term loan. Interest expense also includes roughly $2.1 million of amortization of deferred financing fees. And six, we are projecting G&A of approximately $13.8 million to $15.3 million. Our G&A projections also include roughly $4.2 million of amortization of stock comp. As for our credit stats calculated on a run rate basis as of today, our net debt to EBITDA is approximately 3.3 times, leverage is about 19% of enterprise value and our fixed charge coverage ratio is approximately 6.2 times. We also have $13 million of cash on hand. And with that, I will turn it back to Greg.
Greg Stapley: Thanks, Bill. We hope this discussion has been helpful. We thank you again for your continued interest and support. And with that, we'll be happy to answer questions. Michelle?
Operator: [Operator Instructions] Our first question comes from Jordan Sadler of KeyBanc Capital Markets. Your line is open.
Jordan Sadler: First, just wanted to get a little bit of color on the pipeline that you're seeing now, is it predominantly skilled nursing assets and what are you seeing in terms of sort of flow of assets on the market versus appetite from competitive capital just frame up the environment for us?
Mark Lamb: Sure. Jordan, it's Mark. I would say certainly on the SNF side, we continue to see non-strategic buildings from operators who continue to prune their portfolios. So sometimes whether it's geographically an outlier or for whatever reason maybe financially buildings breaking even and doesn't make sense or even on the regulatory side if it's in a region that is a little bit either more challenging or the regulators in that region have kind of signaled to the operators time to go. There is also I would say, it's - there has been a slowing in REIT dispositions. But we continue to see opportunities on a much more selective basis there. And then, we continue to see mom-and-pops who are exiting for various reasons. So that's kind of what, call it, what we're seeing in the market in terms of the composition of our pipeline is made up of operators who are dispossessing assets that don't fit their portfolio. And then a couple of mom-and-pops who just want to exit.
Jordan Sadler: And then are you seeing more capital come in and chase skilled assets given sort of PDPM, post-CMS recommendation sort of increased optimism assuming lease stabilization on the skilled side?
Mark Lamb: It's really call it unchanged from what we've seen in - I would say over the past 12 months to 24 months. And that you continue to have private buyers who understand the upside in the space. And I wouldn't say there's as much private equity that's chasing, but I would say kind of private syndicated buyers continue to look for opportunities. I was actually back at LTC 100 back in Florida earlier this week, and there is an abundance of capital, but it's really largely from the same spots. The - some REITs, some non-traded REITs as well as I'd say the private buyer as well as well-capitalized operators are all there as they have been for the last 12 months to 24 months.
Jordan Sadler: And then just moving onto sort of the new portfolio. Any sort of commentary one month in early days, but just a quick update of what you're seeing?
Mark Lamb: In terms of the Louisiana piece, the portfolio is exactly what we expected. The good news is the - as we stated over and over, the operator Priority management - Priority Management Group has operated this in a past license. And so they understand really kind of where the buildings you need to get back to. And so nothing from an occupancy, I think from the latest numbers from the skilled mix perspective, there are ahead of pace from an overall occupancy perspective, they are slightly behind. But it's all largely due to one building. They're very, very optimistic. We're going to give them up to $7 million to fix up the buildings. And we expect to get that capital plan rolled out over the next - over the next couple of months. But the portfolio is steady, it was steady when it was handed over. And the new operator, PMG is making physician - kind of reconnecting with all physician relationships and doing exactly what we would expect them to do, call it, 45 days into the transition.
Jordan Sadler: What are the occupancies look like on the portfolio?
Mark Lamb: I don't - I have it on a kind of a total dollar or a total per patient day. I think it's - I would say it's mid-to-high 80s. But I can circle back with you and get the exact numbers offline.
Jordan Sadler: But not far off that sort of stabilized monthly, just needs [indiscernible].
Mark Lamb: No. It's been stable and we took over in the occupancy within the 80s and it's there today. I just can't give you an exact percentage.
Greg Stapley: Just a reminder, this is the part of the senior care centers portfolio that the senior care centers didn't want to lose, because it was stable and cash flowing. So we got in fairly good shape and it's actually ahead of where we expected it to be.
Jordan Sadler: I guess I was kind of curious if there was any fallout amidst the transition or amidst the bankruptcy, et cetera. That was more along the lines of my question. Is the Texas piece of the portfolio at similar condition?
Mark Lamb: It is. It's - there are - from an occupancy perspective, it's really kind of in the same spot that it was on when we underwrote it kind of using the numbers through October of 2018 - 2019. So, the Texas portfolio is stable, it's got a little bit of - it's got independent living and assisted living in it. So it's got a little bit of senior housing to help out in terms of where the upside is going to be in addition to transferring the overall occupancy North, so far so good, but we're only 38 days at.
Jordan Sadler: Then last was just maybe Greg on the Ensign news, the spin-off with tenant. Can you maybe comment on any impact you see to the underlying credit or positive or negative and any impact on the relationship longer-term?
Greg Stapley: I would tell you from our perspective, Jordan. The spin-off is largely a non-event. A few of our assets would become part of the new Company. But it won't reduce our rental income and according to their proposal to us, instead of one guarantor will have two well capitalized companies, public companies, guaranteeing that kind master lease. So the only visible change from our perspective would be a reduction on our tenant concentration with our largest tenant, which you - I think most people know has not really been a very high priority for us lately and frankly for most of you lately since they're good tenant with all the lease coverage. So there's still a lot of details and documents to work out, but we're happy to work with them as we always are to help them accomplish their goals.
Jordan Sadler: So a couple of assets will sit in tenant?
Greg Stapley: There will be several - yeah several assets would go to tenant.
Operator: Our next question comes from Chad Vanacore of Stifel. Your line is open.
Chad Vanacore: Just sticking with that Ensign's spin-off question. Do you have any ability to impede its tenant that made sense to you?
Greg Stapley: Well, Chad. I mean it really doesn't make sense if I don't see any - I think the spin is probably a positive thing for everybody. We certainly know the guys that are going to be running tenants very, very well and I think very, very highly of them. I suppose we could decline to play, but I just don't know why we would, Ensign has been a good tenant for us. The rent comes on time. Tenant is - we believe that tenant is going to be every bit as good. We think there's some things about this spin that actually make a ton of sense for both Companies and for us as well. And so, all that said, I don't really see any reason to even think about not helping them do this - it's not a bad thing.
Chad Vanacore: So fair to say you're supportive. All right. Then just thinking about the operator conference that you had. So outside from PDPM and labor expense inflation which you've been pretty well bandied about. What are maybe some of the other concerns that operators are having. Concerns and opportunity, what was the most discussed at the operator conference?
Dave Sedgwick: This is Dave. I'll tell you PDPM did take a lot of - we did have a lot of airtime on PDPM and really digging into how to prepare for that. And of course, labor is an important topic. And not just in the late - in the operator conference, but as part of our asset management efforts, we try to share as many best practices as we can with our operators to really position themselves as that provider - as that employer of choice to battle for talent locally, so they can become that provider of choice. We talked about the five-star program as well, changes to the Medicare requirements as well. And a lot of time - a lot of the time at the conference was spent on with PointRight.  So we had PointRight actually there present. We rolled out to them that tool. And what that tool does is, it gives high level, it gives the operators more information than they had before about how they are viewed in their markets in terms of re-admission rates to the hospital, even by diagnosis mode, star ratings and different things that help them not just see themselves but in relation to their competition and our operators can use that information and anecdotally we've already seen them successfully do this although we'll take that information to their hospitals and health plans and that information trumps the star rating to a degree and helps them get into these preferred provider networks that are so important. So that pretty much summarizes the content that we covered in the operator conference.
Chad Vanacore: All right, well thinking about that star rating, there has been a change in how CMS is calculating star ratings. Have you gone through your portfolio and see how that's actually affected your operators?
Eric Gillis: Chad, this is Eric. We are quite right as currently right now doing a - gathering all the data for us with the star ratings that we anecdotally we know some that have - had a decrease that also know of several that have increased as well. So, but we're - they're pulling all that data for us to do some analysis on all of our portfolio.
Operator: Our next question comes from Jonathan Hughes of Raymond James. Your line is open.
Jonathan Hughes: Mark, can you give us some color on the pricing for SNF deals in the pipeline. Another skilled nursing owner earlier today mentioned that lease yield have come down a little as the tenure has dropped, are you seeing a similar trend?
Mark Lamb: Yes, I'll jump in and then Greg can cleanup for whatever I say. But I would say, it's going to range from, I would say, 9% to 9.25%. We've stated in the past that we are willing to give up a little bit yield for additional coverage and we're happy to be kind of in the low 9s to get the corresponding coverage that we're hopeful for. So the entire pipeline is, call it, 9% to 9.5%, but really more of it is in that 9.25% to 9% range.
Greg Stapley: Good answer, nothing to cleanup.
Jonathan Hughes: And then coverage still in that 1 times, 1.4 times ballpark? 1.4 times, 1.5 times.
Mark Lamb: As we've said - as we underwrite and then we put our old operator hats on and dig into the PPDs. We’re initially started 1.4. And then depending on call it day one changes and where we think the operators will be able to end up on a pro forma basis. We really would like to see them north of 1.5 once they've got in and have executed their business plan 12 months out. So we start at 1.4. and sometimes it ticks down if there is an inefficient operator, maybe will dip down into the 135 range if we feel like there's a lot of meat on the bone and there's a lot of changes that our operators can execute on call it day one, but for the most part we're writing around that 1.4.
Jonathan Hughes: And then I guess, sticking with you Mark on maybe on senior housing, there hasn't been a pure senior housing acquisition since I think 2017. Can you just talk about the investment opportunities within that sector are they're just not enough high quality operators out there and then does the announcement from inside, did that just create a new partner to grow with as they expand that company?
Mark Lamb: Sure so again, as we've said all along, we're asset class agnostic and frankly, it's all about the operator. And we continue to underwrite senior housing deals every day, but the reality of it as we just haven't been able to pair an acquisition target with an operator that we like and sometimes we'll find assets that we really like that maybe it's geographically in a spot that we don’t have the right fit. From an operator perspective and then conversely we continue to nurture relationships with senior housing operators. But we just haven't found anything that is fit both for us. I mean obviously some of the bigger players in the senior housing space are just kind of capping NOI and not taking into consideration coverage and bringing in AL operators to just manage on an incentive basis. While the big three can come in much lower on a, on a yield basis and get a little bit more coverage to where would maybe makes a lot more sense for them. So we continue to look at opportunities, we just haven't been able to hit.
Greg Stapley: Jonathan, this is Greg. I'll pick up the last part of your question about whether the and time spinoff can it gives us a new partner. The answer is, of course, it does but I think ideally the logical approach is that we would give them some time for the dust to settle on their spin them to sort of get that all digested before we contemplate that. However, you know us, we're opportunistic acquirers. And if the right opportunity came along sooner than that, we'd certainly explored with them. So everything is on the table, we haven’t redline, seniors housing, we just haven't seen a ton of it lately that we thought was a good match for our operator pool. And as far as Mark said, the pricing, just lot of cases doesn't make the best sense to us.
Jonathan Hughes: And then just one more and maybe for Bill, I don't want to leave you out. But target leverage, I think still in that four to five times range. But we haven't been there since early last year. I mean, has that target leverage range shifted down a little given where your cost of equity is so favorable. I mean, why not keep tapping that ATM to keep it as low as possible, which seems you're doing. I just love to hear any color and thoughts you got there?
Bill Wagner: Hi, Jonathan yes, while our stated range is four to five times, we really like sitting in the threes. We've proven that we can still grow accretively, while maintaining a very conservative balance sheet. But having that range where it is allows us to stretch in the event we find a larger opportunistic transaction that fits well into our existing portfolio.
Operator: Our next question comes from Michael Carroll of RBC Capital Markets. Your line is open.
Michael Carroll: I just wanted to touch on the conference that Dave mentioned in his prepared remarks. And I guess, how do you – how are the operators prepared right now? Are you confident that the majority of your operators are well positioned to handle the PDPM change that's coming on in October 1, or do you expect some type of volatility in results?
Greg Stapley: Well, man, thanks, Michael. The high level easy answer is that we think that our operators are just about as well prepared as they can be at this point. And we know that they're spending a lot of time preparing for it, not just with our conference, but they're going to State Association Conferences, a big group of consultants that are doing a lot of business on PDPM right now as well. And we're confident that our operators are going to hit the ground running. At the same time, it is a major shift. And we'll take some time to I'd say fully capture the opportunity. So I think that there will be a little bit of a ramp in terms of capitalizing on the efficiencies that are available, and making sure that the training really suck-in in terms of the documentation and the change of focus and attention to different parts of the MBS that is required but overall we feel pretty good about it.
Michael Carroll: How do you think the rest of market is prepared for I guess PDPM coming in and I guess do you guys see any opportunities of I guess some operators not being able to make the transition or not want to do the transition and electing to sell their portfolio and some opportunities for you to get some more acquisition volume?
Mark Lamb: Yeah, Michael, this is Mark. We haven't seen necessarily the volume that maybe I personally expected, but it's coming rather quickly and I think operators are ramping up for it. But the answer is no, we're not exactly seen a bunch of mom and pops or call it more on sophisticated operators that are just kind of throwing in the towel and heading for the hills.
Michael Carroll: Okay, great. And then I guess last question that's wanted to talk about the senior housing result. I know the comparison pools might be different but it looked like coverage dropped a little bit this quarter. Was that just a difference in the comparison pools or is there something going on within the senior housing coverage ratio?
Greg Stapley: Yeah so occupancy did tick down slightly and coverage ticked down as well a bit. What explains that its principally the management turnover at the regional and local levels for a couple of our operators. The post-acute and seniors housing business is super leadership management sensitive as Mark alluded to in his remarks so, when changes are needed and ultimately made in leadership. There is usually a temporary dip to results and the fact that the seniors housing piece of our portfolio is small also tends to magnify how those challenges appear to be outside observers, but we'd expect to see much of the recovery here in the second half of this year.
Michael Carroll: So those transitions have already occurred and you think that they got a good handle on those transitions right now?
Greg Stapley: Yes.
Operator: Our next question comes from Daniel Bernstein of Capital One. Your line is open.
Daniel Bernstein: I'll go just the opposite the skilled nursing coverages kind of picked up a little bit this quarter and then – once it was that all Ensign or was it that kind of more broad based or some of those assets that you've been transitioning?
Greg Stapley: We have seen Daniel some great upticks in our operators outside of Ensign as well. So we've seeing in the last quarter to actually the last half of the year a largest majority of our senior or sorry our skilled nursing operators are doing some great things and there seem some upticks especially in this fourth quarter.
Daniel Bernstein: Is that all they are managing their mix better or labor costs and what's kind of what are those operators doing operationally that are helping them manage the current challenging situation out there for [indiscernible]?
Greg Stapley: Yes, I think it's a little bit of everything. I think that we had some operators that had newer buildings with transitions that we – built that we've done earlier that are really giving in with the hospital networks. And with the health plans and a securing relationships and their leadership in those markets have started to mature. And so you're seeing the fruits of those early labors when they tick on the acquisitions. And that we’re now starting to really see them and have success in those markets. So largely, we're seeing that leadership with those buildings are really having an effect on their coverage and are able to get the best of the best employees in those areas. And then with that great care, leading to census development. So we're seeing some great stuff from a lot of our operators in that aspect.
Daniel Bernstein: And then you've made some more acquisitions in Texas. Are you targeting Texas specifically and maybe kind of is that related to any thoughts potential positive outcomes for Texas reimbursement?
Mark Lamb: Dan, it's Mark. We just kind of go where the opportunities are and we've, as a result of the big transaction got to know a couple different operators out in the Texas markets. And so we like NextGen is a prime example there, they're a great operator they are focused on the right things very, very – the owner Chalonda Threadgill, she's` is very, very involved daily visitor properties on a regular basis. And so there's an opportunity to match her with an asset there in Dallas that we picked up and there is a great fit and we're really excited about. She and her team as an operator, and as a operating partner to grow. So I would say it's a little bit more opportunistic. I think you know in terms of the bed tax question. I don't think we have any updated information as of this week that wasn't available last week. I think they're still trying to get it through committee. I'm not sure if that will happen or not. Haven't heard anything over the last couple days that suggest it will or it won't. So from that perspective, we just - from - Texas just continues to show that there are operators that are struggling or have to chop off an asset or two, because strategically doesn't make sense. And we happen to have a great operator that who was willing to step in there.
Operator: [Operator Instructions] Our next question comes from John Kim of BMO Capital Markets. Your line is open.
John Kim: On the senior housing coverage, the 1.04. Can you just remind us what percentage of the senior housing portfolio this represents, the expense side and transition really?
Bill Wagner: John, as a percent of revenue?
John Kim: Either at our facilities. I guess percentage revenue of the 13% is senior housing, what percentage does this 1.04 represent?
Bill Wagner: Well below 10%.
John Kim: So it sounds like - it sounds like from Dave commentary that, you don't expect this is something that you will need to address this year in terms of either transition or some of the assets of restructured leases.
Dave Sedgwick: So this is Dave. Again, sometimes when you acquire portfolios, you take on one or two, that's a little bit less excited about than others. And you, along with the operator watching closely. So whether it's a particular facility or an operator, who wants to make a strategic change, we'll take it case-by-case. And we're always like I said in my prepared remarks, we're always looking and re-examining our facilities and operators. But at this point there is nothing to really talk about.
John Kim: Turning the sign on their call yesterday. They again discussed unlocking the value of the real estate. I was just wondering what's the likelihood that you'll be involved in that?
Greg Stapley: John, this is Greg. I think the likelihood that will be involved in that is relatively low at this point. I'm not sure exactly what they're planning to do in terms of unlocking that value. But we haven't had any conversation with them about anything like that.
John Kim: And then finally, is there anything that you can share as far as what you think the strategy is for BlueMountain and the remaining in care portfolio that we retain?
Mark Lamb: Yeah, John, this is Mark. I think they help some assets, and then I think they transitioned a number of assets to off the top of my head, I don't know exactly how many they kept and how many they transitioned of the 28 or so that they picked up and we picked up 12 and then I think they probably kept half. And I think they, they probably sold off the other half. So again they have an operating company down in Texas Regency and so they kept some assets that Regency could expand their footprint. I believe in the Austin and said Antonio markets.
Operator: Our next question comes from Duncan Brown of Wells Fargo. Your line is open.
Duncan Brown: Most of them have been y answered and I may have missed this, but did you say Greg. What number of facilities are going over to SpinCo events and deal?
Bill Wagner: We didn't. But I can tell you have asked us to move 11.
Duncan Brown: Is there anything unusual that we should know about those or that's just anything we should be thinking about there?
Bill Wagner: No, I don't think so. It's, for us the key is that while tenants new company we understand their plan is still be well capitalized, there's certainly well led and we will have the enzyme guarantees. So that the credit profile standing behind that rent note that net lease will not change at all.
Duncan Brown: And then on PDPM appreciate all the color just sounds like most operators are I think miss-prepared as they can be, there's going to be a ramp, I guess it sounds like a generalization are there some operators within your portfolio, where you have some concerns how they're going to respond or is it pretty much across the board. So pretty good that there is not going to be big hiccups is this goes live?
Bill Wagner: We - I stay in touch with all of our operators when it comes to PDPM and even said on a presentation of a training that our operators are giving to their front line staff. And we really feel comfortable about the way that they're attacking this and the way that they're preparing for this. And so like that they all have it - it's front of mind and are really now starting to train our front-line staff and get them ready and prepared for that October 1. We're fairly comfortable with their preparation. And it was nice again at the conference to be able to, to be with them there and be with that –see the number of presentations about PDPM. And we're optimistic and feel comfortable about what they're doing to prepare.
Duncan Brown: The question on leverage was asked previously and obviously below the sort of target of four to five. I guess, does this - keeping in the low threes now, that suggests that even though it's not in the pipeline now, that there are some bigger options that are strategic potentials that are percolating out there or am I reading too much into it?
A – Greg Stapley: Probably reading a little too much into, as Mark said in his prepared remarks, the pipeline right now is kind of down at our normal 100, 125 level and consists mostly of one-offs plus a couple of small portfolios. So the possibility that there would be some larger chunkier deals out there remains. And being ready for them is become a high-priority for us. We've seen how well this last one has gone. So everything gets - was already a high priority for us. But we really like - as Bill said, we really like where we're living right now. But we do want you to understand that we are willing to go up to that five, four - the right deal if it makes sense. And with the understanding that it would always be our agenda to get it right back down within a fairly reasonable period of time, if we did that.
Operator: There are no further questions. I'd like to turn the call back over to Greg Stapley for any closing remarks.
Greg Stapley: Well, everybody, thanks again for being on the call today. And know that you can always call us at anytime if you have any additional questions. Thanks, Michelle.
Operator: You're welcome. Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may all disconnect. Everyone, have a great day